Jean-March Jestin: Good morning, everyone, and thank you for joining us this morning. The first half of the year has been challenging. New lockdowns all over Europe hampered our operations and forced our retailers to temporarily close their stores for a total of 2.5 months. Once again, I am proud on the way we adapted to this situation and continue to serve our stakeholders the best we could with up-to-date health protocols and support for our retailers. And I would like to pay a special tribute to Klépierre staff for their dedication and hard work during these unusual times. I'm still impressed by their agility and resilience, not to mention their unwavering commitment. Over the first 6 months of 2021, with the equivalent of 2.5 months of full closure, we managed to generate EUR 248 million in net current cash flow, keep our debt broadly stable while paying a EUR 285 million dividend and maintaining healthy leverage metrics; pushed letting operations back up to pre-COVID levels with the signing of roughly 800 leases; and enjoyed a fast and strong rebound when our malls reopened, with retailer sales reaching 96% of the June 2019 level and up 15% compared to 2020. I think that's a pretty remarkable performance considering the environment. Not only did we post resilient financial and operational results, our approach to sustainable development was also honored by leading nonfinancial rating agencies and international organizations. First, Klépierre ESG leadership was once again recognized by the Building Research Establishment, the world-leading organization for sustainable buildings. The group received the 2021 BREEAM Award in the Responsible Investment Large Portfolio category. Second, Klépierre was recognized as the worldwide leader in CSR by MSCI, which upgraded our nonfinancial rating from AA to AAA, the highest score achievable. And last, Klépierre was also included by Euronext in the CAC 40 ESG Index launched in March 2021. These awards are definitively the outcome of our Act for Good strategy, which is aimed at serving our stakeholders and addressing social and environmental challenges. Among other initiatives, Klépierre made a strong commitment to the fight against COVID-19 through the implementation of 10 vaccination hubs and hundreds of testing points across Europe. The group notably leveraged its long-lasting partnership with Red Cross in Porta di Roma to set up a 1,000 square meter vaccination center capable of accommodating 3,500 people per day. And as of today, more than 300,000 people have been vaccinated in our shopping centers. We also continue to support our local communities, with 95% of our centers helping to promote local employment. Lastly, our malls posted blood donations, food drives and safe spaces for victims of domestic violence, to name just a few other initiatives. Our malls have remained committed to local communities and to meeting the needs of the areas in which they are located, and I'm very proud of that. Let me now give you some operational insight into the rapid business resumption we have experienced since reopening. Since the beginning of 2021, our malls have been impacted by lockdowns and have been closed for a period equivalent to 2.5 months for the entire portfolio with different levels of restriction from one country to the next. This is longer than during the first half of last year when we were closed for 1.6 months. There are obviously some differences from country to country as only limited restrictions were implemented in Spain and Sweden, while Germany and France were closed for quite a long period of time. But since early June, all our stores have been authorized to reopen. The COVID crisis saw new expectations emerge, especially regarding health and safety and exclusive offers. In response, Klépierre swiftly adapted its malls to meet shoppers' new expectations. The group prepared for the reopening with best-in-class health protocols and continuously improve preventive measures to allow for a seamless and personalized customer journey, making our shopping centers safe places to shop. And this translated into a 19% increase in customer satisfaction. Similarly, we formed new partnership with tenants to provide customers with exclusive and differentiating commercial offerings, meeting their demand for good value for money and generating footfall and higher sales. And the least we can say is that the reopening phase has been strong, stronger than last year, actually. In June, retailer sales increased by 15% compared year-on-year and approached pre-COVID levels. The whole portfolio generally posted strong performances. To name a few, retailer sales in France increased by 14%, in Italy by 18% and in Iberia by 12%. The only region that registered a limited sales increase is Scandinavia as last year performance was already very strong. Overall, sales in Scandinavia were higher than in June 2021 compared to June 2019. By segment, Fashion posted the strongest rebound in June, with sales up 26% and only 4% below the '19 level. Food & Beverage also recorded a very strong recovery, with sales up 16% compared to last year despite remaining restrictions. Meanwhile, other segments that were top performers last year, like Culture, Gifts & Leisure, Household Equipment and Health & Beauty, recorded a slightly lower sales increase than Fashion and Restaurants compared to last year but were in line with or even above pre-COVID levels. Like retailer sales, leasing activity has been strong as well, and it has been the case since the beginning of the year. The group's leasing efforts has paid off and letting operation rebounded, with 776 leases signed over the first 6 months of 2021, a comparable volume to the same period in '19 and 70% above the '20 volume. This trend proves the attractiveness of Klépierre shopping malls and the strength of the group's relationship with leading retailer chain as well as local players. Over the period, the group consolidated its partnership with key accounts and fast-expanding brands like Inditex, Sephora, Hubside and Normal to further increase its market share in each and every catchment area. Meanwhile, sport retailers continue their dynamic momentum. On a like-for-like basis, sales for this segment increased by 9% compared to '19. And the group has opened 61 new stores over the past 2 years with brands such as Courir, JD Sports, Snipes, Foot Locker and more recently, Asics. Let me now walk you through the earnings. I would like to start with rent collection, which is obviously the most important factor to understand the earnings dynamic. As of July 21, we have collected 70% of the invoiced rents and charges, which I think is a strong level, having in mind that we faced 5 months of heavy restriction, out of which 2.5 months of full lockdown. As you know, our strategy since COVID outbreak has been to enter into negotiation with tenants on a case-by-case basis to grant potential waiver in exchange for lease extensions or the opening of new stores. In our accounts, as of June 30, we have recognized allowances and accrued abatements for a total amount of EUR 176 million, and this implies a 74% collection rate or an additional EUR 30 million cash collection. This corresponds to the amount booked in our accounts, but of course, we will do our best efforts to improve this collection rate. It is worth mentioning that this 74% number does not include the support program announced by the French government to help retailers to pay their rents and charges for the closure period and which is currently under review by the European Commission. Moving on to the net current cash flow. We wanted to give you an overview of the COVID-19 impact on our earnings. We therefore compare first half 2021 to an undisturbed year '19, restated for disposals, share buybacks and ForEx differences. As you can see, the majority of the change is directly attributable to lockdowns, which weighed on the collection rate, the EUR 0.61 being the equivalent of the EUR 176 million of abatements and provision I mentioned before. Variable income automatically decreased as well, while the occupancy contraction remained limited. During this time, we rapidly implemented a cost reduction plan and tightly contained our cash outflows, and this translated into a positive contribution of EUR 0.03 per share. Other items, mostly coming from lower tax and cost of debt, had a positive impact of EUR 0.10. Overall, COVID-19 had a negative impact of EUR 0.76 per share on our net current cash flow. But despite the lockdowns and store closures, we managed to contain the debt increase to only EUR 92 million. I think this is a strong performance considering the fact that we paid our full year dividend of EUR 285 million in one single installment. One of these reasons -- one of the reasons, sorry, for this limited debt increase is definitively related to our ability to very significantly -- to reduce significantly CapEx. Our capital outlay came to EUR 54 million in the first half, which is quite limited for a total portfolio value of EUR 20 billion and more than 2x lower than in '19. Overall and combined with a limited 1.8% portfolio valuation decline, the loan-to-value amounted to 42.6% or 41.1% if we restate for the recent disposal in Norway and took into account only half of the dividend payment, which is below the level of last year. Indeed, we focus our investment on our best assets, and I think a good example of that is Gran Reno. Beyond the refurbishment of this flagship regional mall in Bologna, the 17,000 square meter extension is due for completion in spring 2022. As of today, pre-leasing is advancing well, with 81% of the extension already let or under advanced negotiation. Exciting new brands such as Primark, Tommy Hilfiger and the Inditex banners will be added to the mix, further bringing this leading mall to the upper echelons. Overall, we are confident we will reach our targeted yield on cost of 6.1%. The works for the refurbishment of extension of Grand'Place in Grenoble just started in July. Pre-leasing is progressing very well on schedule with 76% level. This new development will house a brand-new Primark store and 15 new boutiques as well as a food court integrating the up-to-date standards of the Klépierre Destination Food strategy. A word about divestment. In early July, we closed a significant transaction selling 5 assets in Norway for a total consideration of EUR 435 million at a 5.6% net initial yield. And I think that this showcased our ability to remain an active seller even in a challenging investment market. Let me now conclude before we answer your questions. Once again, we improved our resilience over the first half of 2021. As soon as our malls reopened, we experienced a strong pickup in sales, proving that people crave for social interactions and that in the long term, the stores remain key in the retail ecosystem. However, we remain cautious about daily developments of the health crisis, especially regarding the Delta variant that could lead to new restrictive measures. In this environment, we maintain our guidance unchanged and still forecast a net current cash flow per share of EUR 1.8. This guidance assumes no store closures or severe restriction in the second half of 2021. And of course, we will update the market if the situation evolves. I will end my remarks on this note and open the floor to questions.
Operator: [Operator Instructions] The first question today comes from the line of Florent Laroche-Joubert calling from ODDO BHF.
Florent Laroche-Joubert: I would have maybe a small question. So my first question will be on the disposals that you have executed recently. So would it be possible to have more color on the disposal compared to the half results value? Maybe second question also on the investment market. So how do you assess today the appetite of investors in the investment market in your different countries? And maybe a third question. So you have had a very strong leasing activity in H1. So do you expect a similar activity in H2?
Jean-March Jestin: Thank you, Florent, for your questions. So in Norway, the disposal, it's slightly below book value. It's around 6%. And we think that the net initial yield, this is very attractive for noncore assets. For the investment market, I think the market is still very quiet, but we have seen -- we have been able to dispose assets. We are also currently discussing other divestments. So I'm pretty confident that due to the nature of our asset base, we will be able to perform new disposal in the near future. For the leasing, leasing, this has been a very strong momentum, and we are very positively surprised with a positive reversion, slightly above 0, so -- which show that the ERVs and the -- that we have in our target are still met in leasing transaction. We are very confident also that our portfolio will continue to be attractive for retailers in the next 6 months. So yes, we are positive.
Florent Laroche-Joubert: Okay. Maybe if I can have a follow-up question. So I understand that disposal in Norway are 6% under the appraisal. This is correct?
Jean-March Jestin: Yes, it is.
Florent Laroche-Joubert: Yes. And so -- and as a result, how can we say that the valuation of our portfolio can be considered as conservative due to this difference between appraisals and the sale of -- in Norway?
Jean-March Jestin : What do you mean, Florent, by conservative?
Florent Laroche-Joubert: My point is the independent appraisals try to value assets, I think, in a conservative way by looking at what are the transaction in the investment market. And here, we can see a slight difference between what has been disposed as a value, has been disposed compared to the last appraisal value.
Jean-March Jestin : Well, I think it’s – we think it’s quite a remarkable transaction in the current environment. The net initial yield, as I said, is very low. Yes, it’s a slight write-off compared to the appraisal value, but we think it’s very minimal.
Operator: [Operator Instructions] The next question comes from the line of Rob Jones calling from Exane.
Rob Jones: Just a couple from my side. One was on if you could give any detail on footfall. I appreciate you've got retailer sales in there, 4% below pre-pandemic levels, which is an impressive result. But give any color on footfall. Is it also roughly 4%, 5% below? Or are people average basket size, as you mentioned, materially up and therefore footfall might be down, say, 10% or greater? And then secondly, obviously, we've had the legislation coming on the 25th in France, restricting people who aren't double vaccinated or providing a negative COVID test to visit a center greater than 20,000 square meters. I'm just wondering if you've got any early indication so far as to what extent that is impacting either footfall or retailer sales in your French assets that are impacted by that. That's it for now.
Jean-March Jestin: Thank you, Rob. So in terms of footfall, it's a bit the same like last year. In fact, there is a gap of approximately between 10% up to 15% between footfall and sales. So footfall in June was minus 16%, 1-6 percent, compared to a normal year. And in July, it's roughly the same number so far. So we can probably conclude that there is a better or higher average basket at each visit. So this is pretty in line with what we experienced in 2020 after the lockdown. For the French legislation, what we will probably want to say is that we have constantly opposed to the French government the implementation of health certificate to enter into our malls. This has been rejected by the senate. This has been not recommended by the high court. So this is still pending. The law has been passed but has not been really issued. We wait for the decree. We will see what is inside. And then we will figure out. We -- there is no automatic implementation of health certificate in shopping malls. This will be only decided by the prefect. And this will have to be highly motivated. And this will have to take into consideration 2 most important elements: that we will have to keep access to essential goods for the customers, and we will have also to take into consideration specific situation when we are on transportation as well you can imagine, we cannot check each and every one which are going out of a tube or a train when they enter into our malls. So we would continue to oppose to this regulation because it's -- we believe it's unfair and nonefficient. Unfair because this is only applicable to big malls and not to the other stores, and this is not scientific-based. All the studies in Europe and in the world clearly show that shopping centers are safe places with no risk of contamination.
Rob Jones: Okay. And then just finally on disposals. Your LTV, obviously, including the year-to-date announced transactions, is broadly flat. And you're in a position where you're not a full seller of assets at the moment, which is great. But looking forward to second half of the year, you mentioned about disposals earlier, but should we expect to see another EUR 500 million plus of disposals? Or could that potentially drift into H1 '22 in terms of stuff that you've got on the market looking to sell at the moment?
Jean-March Jestin: We will see. We will see. We will tell you when – we will only comment the transactions when they are executed. So we will see.
Operator: The next question comes from the line of Sander Bunck calling from Barclays.
Sander Bunck : I had 2 questions, please. The first one is on kind of your outlook for H2. Obviously, based on your guidance, you expect bank collection to improve quite materially into the second half. What is kind of your current run rate assumption for that for the second half, please?
Jean-March Jestin: I don't want to enter too much into the various ingredients of the guidance. What we did last year is we assumed we are probably among the few or the only one providing a guidance for 2021 based on certain assumptions of closure and so on. The first main takeaway is that when we look at 2020, we have collected so far more than what we expected last year when we closed our books. So we are ahead of our projections for 2020. When we look at 2021, we had a target -- we closed our books with not a target, but assuming that we will reach 74%. As we speak, we are already at 70%. So we are very confident that we can reach and even go over that level in the course of the year. So the rest of the guidance is built in the same way, taking into account various elements, but assuming that there is no lockdowns and there is no heavy restrictions. So if it is the case, we are confident to deliver the guidance.
Sander Bunck : Okay. And just very mathematically, I think I calculate something of a 30% net rental income increase compared to the first half. That implies that your collection rate would probably need to go to close to 100%. Is that a fair assumption? Or are you saying that you are more conservative than that?
Jean-March Jestin : It won't go above 100%, okay? It will tend to -- no, I think the assumption we have is that we have assumed that at some point in the year -- at some point of time in the year, we will reach a level which is pretty in line with pre-COVID levels in terms of rent collection around September. So this is a gradual recovery. If we look at the month of June, okay, the month of June this year, we will probably be above 90% of rent collection when all the stores are open. It's pretty in line with what we experienced last year after the first and the second lockdown where rent collection, when everything was open and trading well, we were in the range of 93%, which is still below a normal year, if I may say it like this. So the guidance has been assuming a gradual recovery in rent collection.
Sander Bunck : Okay. That's very clear. And the second question I had, kind of coming back on the valuation point. Obviously, like values are -- get pretty flat in the first half. You're disposing at something like a 6% discount, we saw yesterday, although I appreciate that's a very different type of quality. Actually, that asset value sold very materially below book in France. Like what is the feedback you're getting at the moment from the valuers? And how comfortable are they where they currently sit? And what did it lead -- would it then lead to only have a pretty modest decline while we're having prints coming through now that are quite below book?
Jean-March Jestin: I think the feedback is what we have in our books, so it's particularly -- I think the changes in the valuation, which is 1.8%, is split almost equally between cash flow effect and market effect. So on cash flow effect, it is fair to say that they have only small evidence that ERV should be corrected on our portfolio as we have signed 800 leases above passing rent. So I think on the cash flow effect, they are just taking into account the transactions. On the market effect, they are playing with the yields exited and discount rate, and they have increased by 10 basis points, the prime yield, which has a higher impact on -- in countries where the net initial yield is lower. But it is as it is. So I think the main takeaway is that the feedback is that there is, today, no evidence that ERV should be corrected.
Sander Bunck: Okay. So ERVs -- like happy with the ERV assumptions, but probably on the market or yield impact, you could see some further pressure?
Jean-March Jestin: Over the last few months, we have disposed assets and we are close to valuations. So we think there is a market at good yields and low yields in Europe. So maybe you are referring to other transactions that are different, probably more distressed transactions, which are probably not what we are experiencing in our portfolio.
Operator: The next question comes from the line of Ben Richford calling from Societe Generale.
Ben Richford: Just firstly, a quick technical one. Just the 6% discount on the disposals, is that booked in H1 already? And is it 6% versus the full year '20?
Jean-March Jestin: Yes, Ben. It is.
Ben Richford: And just in terms of rental reversions, I noticed Scandinavia was one of the weaker countries in the first half, and that's clearly a part of the portfolio you've paid the disposals from. Does that mean that strengthens the case for positive reversion into the second half and beyond? Or do you think reversion weakens a bit further from here?
Jean-March Jestin: It's -- we will see. I think we will tell you when we have made transactions, so -- we are plus and minus in our portfolio. The strength of our portfolio as we can see all over the crisis is that we are in different geographies and the average is positive. So I will not comment too much and itemize on the plus and the minus. So the overall performance is very satisfactory in an environment which has been the most challenging ever. So that's what I will tell you and not itemize too much between the plus and the minus.
Ben Richford : Okay. And just one final question. The potential for the French government to release money to your tenants, that should pay -- back pay some of the rents. What's the potential quantum that you could receive in there? Because it's so far not sort of part of expectations or guidance that you've given.
Jean-March Jestin : This will be clearly a plus. I think we have closed our H1, based on our experience, not taking into account the full implementation of that plan. We have seen the draft decree. It’s a positive. So this will be implemented soon. We expect to get more rent collection. When we look at the amount at stake, it’s probably around EUR 20 million.
Operator: The next question comes from the line of Rob Virdee calling from Green Street.
Rob Virdee: A couple of questions. So number one, on the rent collection, appreciate what's happening in France, but why is the Italian collection number so low? If you can answer that one first, please.
Jean-March Jestin : I think the -- in the different countries where we operate, we have seen a different type of governmental package to help businesses that have been shut down. So in some countries, the way the governmental package has been put in place has been fast and very efficient. As you can see in Germany, we have been closed for 5 months, and we are -- we have a collection rate of 80 -- something, I don't even remember, but -- so it's a high percentage. In Scandinavia, the same. The 2 countries where the governmental package are slow to enter into force is France, as we just said, and Italy. In Italy, it's also a bit of a hybrid situation. If you remember, Italy was not fully closed. It was closed on weekday -- on weekends and sometimes was fully closed. So when we -- the negotiation with the tenants to split between rents which were during periods closed and open periods, it takes a bit of more time to settle the deal. We experienced that also in 2020. But we are confident to reach the target also for Italy.
Rob Virdee: Okay. So the second question is on capital allocation or capital recycling. So first of all, what was the rationale for the Nordic disposals? And b, where are those proceeds going towards? Are you seeing any distressed assets that you would potentially like and you could put that money to work on?
Jean-March Jestin: The rationale for the disposal of the Norwegian, I think the strategy #1 for Klépierre since, I would say, 2012 is to refocus the portfolio constantly on the best assets in the growing cities, in capital cities. If you look at the cities where those assets are, they are definitively not meeting the criteria of growing cities and larger cities. So I think the rationale was exactly this one, to focus on the large cities in Europe. When it comes to distressed disposal from the others, we are just observing it.
Operator: We have no further questions coming through on the phone lines. So I'd like to hand the floor back over to your host for web questions. Thank you.
Unidentified Analyst: The leasing activity, is it possible to have an idea of the weight of the variable rents and short-term rents within the leases that we have signed during the semester?
Jean-March Jestin: I don't have the number on top of my mind, but I will say less than 5%. We are not changing the lease structure. Most of the leases that we are -- the 776, a significant part of them are renewals under terms which are either higher or lower depending on the situation, but average are higher. But we are not changing into a variable range. But in some occasion, we do. And it's probably, yes, less than 5% of this amount, I think. We will -- we may probably look at it and answer separately to your question. Okay. So we have seen on the webcast some questions, but they all relate to the re-leasing spreads or the Norway disposals or some additional question about the leasing activity, which are all a repetition of some of the question we answered to. So if there is no more questions from you guys, we propose to end the call. And wish to see you -- all of you soon. And we wish you a very good summer break for a very good and strong H2.